Operator: Welcome to the Second Quarter 2015 ConocoPhillips Earnings Conference Call. My name is Christine and I will be your operator for today's call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ellen DeSanctis, VP-Investor Relations and Communications, ConocoPhillips.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thank you, Christine, and hello to all of our participants today. With me on the call are Ryan Lance, our Chairman and CEO; Jeff Sheets, our EVP of Finance and our Chief Financial Officer; and Matt Fox, our EVP of E&P. Ryan's going to open the call this morning with some comments about the general business environment and then will turn the call over to Jeff and Matt for their customary second quarter comments. Q&A will follow that and we are going to ask that people limit their questions to one plus one follow-up. We will make some forward-looking statements this morning. And obviously our future performance could differ from our projections due to risks and uncertainties. Those are described on page 2 of this morning's material and in our periodic filings with the SEC. This information as well as our GAAP to non-GAAP reconciliations and other supplemental information can be found on our website. And now it's my pleasure to turn the call over to Ryan.
Ryan M. Lance - Chairman & Chief Executive Officer: Thank you, Ellen and thank you all for joining the call today. As Ellen said, before we dive into the second-quarter results, I want to take the opportunity to provide some broad comments about our approach to the business in the current price environment. So let me give you the punch line of these comments, the dividend is safe. Let me repeat that, the dividend is safe. The business is running well, we have increasing flexibility and can achieve cash flow neutrality in 2017 and beyond at today's strip price of roughly $60 per barrel Brent. And we have a unique formula for sustainable performance and a portfolio that can deliver. Now let me put a little bit of meat on the bones. Weak prices have certainly dealt us and the industry a significant headwind, but the reality is we don't control prices. That said, there are many things we do control like how much capital we return to the shareholders, how much and where we spend the capital and the cost of running the business. And rest assured, ConocoPhillips is laser focused on the things we can control. We cut our capital early in the cycle, not just for this year but for three years. We took a $1 billion cost-cutting challenge and we recently reduced spending for new deepwater opportunities. And we did this while continuing to meet our operational targets, raising our dividend modestly to continue to meet our commitment to shareholders. Our ability to make these decisions is not accidental. Over the past few years we've built a sizable portfolio and resource base, flexibility, options and choices. It's a huge advantage at times like these. Just as importantly, we're navigating the sharp downturn with a focus not just on the short-term measures but also a focus on the medium and the long-term horizons. This is really important and frankly it's hard to do. So if you turn to slide four, let me provide some perspective on how we're simultaneously managing across these time horizons. First, the short term is all about safely executing the business. That means delivering on our current performance targets. As Jeff and Matt will cover, we're meeting or exceeding our short-term goals and as you saw in this morning's announcement, we're lowering guidance on operating cost and reducing our capital guidance for 2015. That represents a significant benefit to net cash flow for the year. We also recently increased our quarterly dividend. The increase was very modest, representing about $25 million impact in 2015. While every dollar matters, we believe this was an important message for our shareholders. At the same time, we're also paying close attention to the medium-term. And the medium-term for us is all about managing the path to cash flow neutrality in 2017. In addition to the short-term items I just mentioned we continue to focus on ways to increase our capital flexibility. If the current price environment persists, we have the flexibility to reduce our near-term capital spend below $11.5 billion and still achieve modest growth. Now stay tuned for more on this as we see where the commodity prices head later in the year. Also, we're focused on maintaining our balance sheet strength. We have additional capacity and ample access to liquidity. And as we've continuously said, we expect a company of our size would generate about $1 billion of asset sales annually from pruning the portfolio. That's an additional source of cash and good business. Finally, we announced a $1 billion operating cost reduction challenge for 2016 and we're on track to meet or exceed that target. These actions will help our medium-term performance but also drive sustainable improvements beyond 2017. And that brings me to the long-term, the actions we are taking to ensure our long-term success include maintaining our capital flexibility, lowering the cost of supply across the portfolio and shortening the cycle time of our investments. These are criteria that are guiding our decisions and these were the drivers behind the recent decision to reduce our deepwater spending, which Matt will discuss in more detail. So that's how we're managing the business through this period, by simultaneously focusing on the short, medium and long-term horizons. And we're doing it in a way that I believe meets our commitments to our shareholders and honors our priorities of a growing dividend, a strong balance sheet and growth that we can afford. Now ultimately, our goal is to position the company for sustainable performance and this point is demonstrated on the next slide. Now we know what's on everybody's mind. What if prices stay lower for longer? Well, the left side of this chart lays out our answer. We believe we can achieve cash flow neutrality in 2017 and beyond through exercising capital flexibility even at $60 a barrel Brent. We can exercise additional capital flexibility from various sources, deflation capture, efficiency improvements, discretion in development programs, uncommitted major projects, deepwater reductions and the additional program efficiencies. And we believe we can achieve our 2017 production target given the ramp from our major projects between now and then. The majority of which is from capital we've already invested. And this is all before tactical asset sales. Finally, the right side of the chart shows a graphic from our April Analyst Meeting. At that meeting we discussed the quality and cost of supply of captured resource base. Today we have over 44 billion barrels of identified resource, over half of which has a very attractive cost of supply. 16 billion barrels is either proven reserves or has a cost of supply that's less than $60 per barrel. That's almost 30 years of resource at current production rates. So we have the opportunities to invest capital in captured economic programs with little resource risk. This should accelerate value for shareholders while increasing the predictability of our business. That's how we can sustain our success for the long-term. Now I hope these comments provided some perspective on our approach to the business in this environment. The bottom line, it's a very solid and disciplined plan. So, I'm going to come back with some closing comments, but let me turn it now over to Jeff.
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Thanks, Ryan. So I'll walk through our results for the quarter and then provide some updates on our 2015 guidance. I'll start with our second quarter financial performance, so that's on slide seven. As Ryan mentioned, we operated well this quarter with production hitting the high end of guidance. We reported adjusted earnings of $81 million or $0.07 a share and these results included 4% volume growth and 14% lower operating costs compared to this quarter last year after adjusting for special items. The story for the company and the sector this year continues to be low commodity prices. We did see a slight increase in total realized prices in the second quarter compared the first quarter which improved our sequential earnings, but year-over-year our realized price was down nearly 45%. Second quarter adjusted earnings by segment are shown on the lower right side of this chart. Segment adjusted earnings are roughly in line with our sensitivities and the financial details for each segment can be found in the supplemental data on our website. Now if you'll turn to slide eight, I'll review our production results. Our second quarter production averaged nearly 1.6 million BOE per day compared to 1.56 million BOE per day in the second quarter 2014. That's growth of 4% or 69,000 BOE per day, which came primarily from liquids and from domestic gas sales of APLNG which we'll turn to LNG over time. The waterfall also shows the difference between downtime and dispositions in the second quarter this year versus same period last year which was 30,000 barrels per day. That reflects mostly downtime in Canada from forest fires near Foster Creek and in Malaysia as a result of the Gumusut turnaround. Now if you'll turn to the next slide I'll cover our cash flow waterfall for the first half of the year. This chart provides a summary of our sources and uses of cash through the first half of the year. We started the year with $5.1 billion in cash, through the end of June we generated $4.4 billion from operating activities excluding working capital. Total working capital in the first half of the year was a $1.1 billion use of cash, with the largest impact related to lower payables associated with reductions in our capital spending. We do not expect to see significant additional working capital changes associated with investing activities through the remainder of 2015. In the first half of the year, we received $600 million in disposition proceeds. As we've previously said, with a portfolio of our size you can see $1 billion of assets sales every year as we continually high-grade the portfolio. We increased debt by $2.4 billion. The debt included fixed and floating rate bond tranches, with an average maturity of 5.6 years and an average interest rate of 1.9%. For the first half of the year, we spent $5.7 billion in capital and that was comprised of $3.3 billion in the first quarter reducing down to $2.4 billion in the second quarter. And as we'll point out on the next slide, we're lowering our capital guidance for 2015 from $11.5 billion to $11 billion. So that puts us at $5.3 billion in capital for the second half of the year. After paying our dividend, we ended the quarter with $3.8 billion in cash on the balance sheet. So we remain in a strong balance sheet position with cash on hand, access to ample liquidity, as well as the potential for incremental cash from tactical asset sales. I'll wrap up my comments on slide 10 with some guidance for the rest of the year. We are on track to achieve the high end of our 2% to 3% production growth for the year. Our third quarter production guidance is 1.51 million BOE per day to 1.55 million BOE per day, which reflects significant turnaround activity in the quarter. We are also providing an update on several of our financial guidance items which in the aggregate will provide approximately $900 million in benefit to net cash flow in 2015. We now expect full year 2015 capital expenditures of around $11 billion compared to our previous guidance of $11.5 billion. This reflects lower capital that's roughly equal parts program efficiencies, deflation in FX and some activity deferral. We're also making good progress on our operating cost targets, which are mostly coming from changes to the way we run our business. We still expect our operating costs to increase in the second half of the year as we continue our turnaround work and bring projects online, but given our run rate through the first half of the year, we are lowering our operating cost guidance for the year from $9.2 billion to $8.9 billion. That puts us ahead of schedule as we work towards our $1 billion cost reduction target in 2016. Our corporate segment benefited from LNG licensing revenues during the second quarter and we're changing our full-year guidance to a net expense of $900 million from $1 billion. And there is no change to our DD&A or exploration, dry hole and impairment guidance. That concludes the review of the financial performance and guidance. I'm going to turn it over to Matt for an update on our operations.
Matthew J. Fox - Executive Vice President-Exploration & Production: Thanks, Jeff. As Jeff and Ryan mentioned, we've had another strong quarter operationally and the business is performing well. I'll quickly run through our segment results and then turn it back to Ryan for some closing thoughts. In the lower 48, second quarter production averaged 556,000 BOE per day. That's a 3% increase from the same period last year and represents a 9% increase in crude oil production over the same period. We're now running 13 rigs, with six in the Eagle Ford, four in the Bakken and three in the Permian. That's down from 32 rigs at the end of 2014 and we believe this is the right pace of activity in this environment. We'll reassess these levels later in the year, taking into consideration market conditions, pilot test information and the price outlook. With our reduced capital program, our growth in this region has started to slow and we expect production to see modest declines through the rest of the year, consistent with our prior guidance. Looking at the Gulf of Mexico, our appraisal work is continuing, with activity in the quarter at Gila, Shenandoah and Tiber. And next I want to provide a quick update on the rest of our Gulf of Mexico program following our deepwater announcement earlier this month. As Ryan mentioned, we recently announced a plan to reduce spending in deepwater, notably in the Gulf of Mexico. We've taken the step of terminating our agreement for a drillship and we expect to take a charge of up to $400 million as a special item in the third quarter. The drillship wasn't scheduled for delivery to the Gulf until later this year, so not a lot has changed for our 2015 drilling program. Two exploration wells are expected to spud in the third quarter at Melmar and Vernaccia. After Melmar we will have two remaining slots on the Maersk Valiant drillship. We expect to drill a Socorro prospect with one of these slots and we're currently evaluating and high-grading our drilling prospects to fill the final operated slot. We're going through our budgeting process for next year and we'll provide more detail on expected capital and operating cost savings for 2016 when we announce our capital budget later in the year. Next I'll cover our Canada and Alaska segments on slide 13. We produced 306,000 BOE per day in our Canada segment, an 8% year-over-year increase. The growth came from our new wells in Western Canada as well as strong performance from our oil sands assets. In May we achieved a major milestone with first steam at Surmont 2. We're on track to start producing in the third quarter and expect production to ramp up through 2017. Our other oil sands assets continue to perform well and we're see ongoing ramp-up at Foster Creek Phase F despite the 11-day shutdown the end of May due to forest fires. Alaska's average production was 174,000 BOE per day. We're continuing to make project (sic) [progress] (16:18) on our CD5 and Drill Site 2S projects, where the first wells were spudded at both projects during the quarter and both are on track for first oil during the fourth quarter. As we mentioned in the first quarter call, we resumed exports from Kenai LNG in April. So far we've delivered two cargoes and we expect to deliver four more by the end of the year. And our seasonal turnaround activity started at both Prudhoe and Kuparuk in June and will continue into the third quarter. Now let's review our Europe and Asia-Pacific and Middle East segments on slide 14. In Europe, second-quarter production averaged 206,000 BOE per day. We achieved startup of our Enochdhu project slightly ahead of schedule. We're also making progress on our Alder project, which is expected to come online in late 2016. Eldfisk II and Eldfisk South production is continuing to ramp up as we bring additional wells online. And we've safely completed our turnaround activity in the J-Area and the Ekofisk Area ahead of schedule. However, we still have a significant amount of turnaround activity planned in the region during the third quarter. In the APME segment, we produced 349,000 BOE per day in the second quarter. That's an 8% increase compared the second quarter of last year, primarily as a result of new production from major project startups in Malaysia. APLNG Train 1 is nearing completion. We achieved another milestone this week when we started loading refrigerants to the LNG facility and we remain on track for first cargo in the fourth quarter. In China we completed our Bohai appraisal program with encouraging results. And in Malaysia, Gumusut began a major turnaround in June, which was just completed in the past few days. So to wrap up my comments, the business is continuing to perform well, we're hitting our production targets, lowering our cost and maintaining our focus on safety. We have a few more major projects and turnarounds to complete this year but we're on track to deliver on our commitments. Now I'll turn the call back to Ryan for his closing remarks.
Ryan M. Lance - Chairman & Chief Executive Officer: Thanks, Matt. And that wraps up our second-quarter review. So here's the summary: The dividend is safe, the business is running extremely well, we can achieve cash flow neutrality in 2017 and beyond at today's strip of roughly $60 per barrel Brent and we have a unique formula for sustainable performance and a portfolio that can deliver. Now currently the environment today is challenging for the industry. But we believe we're entering a new reality for the business. The winners will be those companies with a rational vision, high quality asset base and a strong workforce and a commitment to shareholders. The winners will be those companies who can manage short, medium and long-term goals simultaneously and we're setting plans and delivering on the things that we can control in the short term, paying close attention to the drivers of medium and long-term performance. We believe this broad perspective will serve us well and make us an even stronger company in the future. So thank you for listening to the opening remarks and I'd be happy to turn it back over to the operator for your questions and our answers.
Operator: Thank you. And our first question is from Guy Baber of Simmons and Company. Please go ahead.
Guy A. Baber - Simmons & Company International: Thanks very much for taking my question. I had a couple. First, was just hoping to discuss the decision making progress around determining whether to increase or decrease unconventional activity levels later this year and into 2016? You mentioned the development program discretion, so just wanted to dive a bit deeper into that. I think the prior view was to begin increasing the rig count the back half of this year, but oil prices have obviously weakened and you obviously have a lot of flexibility next year with $2 billion in major projects rolling off. So could you just help us understand the framework for determining unconventional activity spending levels as we go into next year?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, Guy, thanks. As we laid out in April, we saw some modest increases in the prices over the next couple of years in our path to sort of our working the medium-term in 2017. And if we see the – and in that plan we had some ramping up of our unconventional activity assumed in that plan. As our capital flexibility increased and our project capital was rolling off Surmont and APLNG, we're going to direct that to the unconventionals which are shorter cycle time, higher returns, and just better opportunities for the company. I would say if prices that we're seeing today, sub $60 Brent, high $40s and low $50s, we don't have plans to increase the capital and ramp up in the unconventionals if these kind of prices persist. So we're watching the space pretty closely. As Matt said, we'll announce our capital later this year, but that's going to be informed by where we think the commodity prices are and where we think they will be in 2016. And that's going to then dictate how much we ramp up in the unconventionals.
Guy A. Baber - Simmons & Company International: Thanks, Ryan. And then my follow up was could you just discuss a little bit more some of the assumptions implicit in the comment that you could achieve cash flow neutrality by 2017 at $60 a barrel Brent. So more specifically, could you perhaps elaborate on what deflation capture would be implicit in those assumptions? And just any more detail that you could give there I think would be helpful, as I think that's a pretty important assertion.
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, I think what we're saying right now is that when we came out in April, we talked about the capital required to generate a flat production profile for a long period of time for the company. We thought that was about $9 billion. I think the deflation that we've seen to date and the additional deflation that would happen in a lower price world that you're describing, our flat capital goes down something closer to $8 billion and if this price were to persist for a period of time we would expect additional deflation and more efficiencies going forward. We haven't factored that into the analysis necessarily but it is a recognition that we can achieve flat production for a long period of time at an $8 billion capital level.
Operator: Thank you. Our next question is from Doug Terreson of Evercore. Please go ahead.
Doug Terreson - Evercore ISI: Good morning, everybody.
Ryan M. Lance - Chairman & Chief Executive Officer: Good morning.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Doug.
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Doug.
Doug Terreson - Evercore ISI: Ryan, I wanted to continue on Guy's question about the downward revisions to operating capital cost and specifically you highlighted on slide five four different categories, and you just touched on deflation capture but I also wanted to see if you could comment on – or give us a little bit more insight on what you mean by discretion in development programs, deepwater reductions, program efficiencies, just a few more specifics there, if you have any?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, Doug. Be happy to. So we described sort of the deflation capture and efficiency that we're seeing in the portfolio to lower the capital required to keep flat production over time, and that's clearly something that we would dial in if we saw these kinds of prices persist. We talk about – something we don't talk about is asset sales. We think in the portfolio our size we have an ongoing rationalization program that keeps eliminating the bottom end of the portfolio and that's certainly there. We've got a lot of flexibility. The unconventionals are shorter cycle time and we can ramp those up at different speeds responding to the commodity price environment that we find ourselves in. So as we try to describe the actions, the levers and the tools, those are some of them. You mentioned the deepwater exploration. We're working through that as well but would expect that to be incremental in terms of capital savings and operating cost savings as we look forward at this kind of price level.
Doug Terreson - Evercore ISI: Okay. And then finally on cash flow, when using consensus estimates, divestitures and borrowings in the quarter, it seems like your dividend is covered for 2015, and on this point I wanted to see where your after-tax borrowing costs were on the recent borrowings in the period. And then also the status of any other funding sources such as a revolver, commercial paper or whatever you deem relevant, so maybe a question for Jeff?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Yeah, sure. Doug. As we mentioned in our brief remarks there, we were out in the debt markets in the second quarter and we issued $2.5 billion worth of debt. That was a mix of fixed and floating, and on average that was a 1.8%, 1.9% interest rate on a pre-tax basis, so you could tax effect that. So we ended the second quarter at $3.8 billion in cash on the balance sheet. It probably takes $800 million to $1 billion to operate our business, and then in addition to that we have about a $6 billion liquidity line that's undrawn currently.
Doug Terreson - Evercore ISI: Okay. Great. Thanks a lot.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, Doug.
Ryan M. Lance - Chairman & Chief Executive Officer: Thanks, Doug.
Operator: Thank you. Our next question is from Doug Leggate of Bank of America Merrill Lynch. Please go ahead.
Doug Leggate - Bank of America Merrill Lynch: Thanks. Good afternoon, everybody. I guess, Ryan, first of all, thank you for your remarks at the beginning of the call of the dividend. I think that's pretty clear, but I've got a couple of questions around the strategy, how that changes in a low oil price environment. First one's really on exploration. So you've cut a rig obviously this year you had a fairly large commitment. What does this say about the exploration strategy going forward, given the resource depth that you have and given that that's a key area of discretionary spending? Are you backing away from exploration post 2015? And I've got a follow up, please.
Matthew J. Fox - Executive Vice President-Exploration & Production: Doug, I think I'll take that. And so the specific announcement we made earlier this month is only related to canceling the Ensco drillship. And that by itself is going to result in a decrease in our deepwater exploration capital by $300 million to $500 million a year for the next three years as a function of what the spread rate and the equity position would be. We're still going to be conducting deepwater exploration, though, through 2015 and into 2016. We have – we're appraising our existing discoveries in the Gulf of Mexico and West Africa and high grading the portfolio to fulfill the remaining rig commitments that we have. But more to the strategic question that you were asking, we are looking more broadly at our deepwater portfolio and considering alternatives to that portfolio. But anything we do is going to have to preserve value from the discoveries that we've made in the portfolio that we've built up over the last few years. So there is still a strategic question on the long-term position of deepwater. Now we have a very strong position in the unconventionals and as you mentioned, a very strong position across the resource base as a whole. So the strategic emphasis would be moving more towards developing the existing resource base but there still is a significant role for exploration to play in bringing new resources into the portfolio. So there will be more to come in this to over time, Doug, as we firm up those longer-term strategic implications of the deepwater decision.
Doug Leggate - Bank of America Merrill Lynch: Appreciate the answer, Matt. I guess the follow up is probably for you as well, I'm guessing, because there has been, I think, you and I had some time together earlier this year. There was some talk about 80,000 barrels a day of potential non-core production. With your comments about, one has to imagine that there is disposal potential in some of your existing undeveloped discoveries, how should we think about the scale of what you envisage to be your disposal backlog, if that's the right way to ask the question? And how would that capital be redeployed? Would it buy back stock? Would it shore up on the balance sheet? How would you use the spending? And then I'll leave it there. Thank you.
Matthew J. Fox - Executive Vice President-Exploration & Production: Yeah. So, as Jeff and Ryan both mentioned, we expect to be some form of dispositions going on sort of continuously in the portfolio just to trim up. And it is nonstrategic. So for example, you may have seen yesterday or the day before that we are going to market our Cook Inlet position in Alaska. I think it's quite well known that we've had a package out there in Canada for nonstrategic assets and big gas assets, and we have some assets in the lower 48 that fit the same criteria. So we do have some tactical dispositions that we're currently marketing at the moment. So, I mean, the use of that cash would be to fund our dividend and our ongoing capital programs of the...
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, and I'd jump in there, Doug, a little bit. The priorities are the dividend to the shareholder, the balance sheet, and then a growth we can afford.
Operator: Thank you. Our next question is from Paul Sankey of Wolfe. Please go ahead.
Paul B. Sankey - Wolfe Research LLC: Hi, everyone.
Ryan M. Lance - Chairman & Chief Executive Officer: Hi, Paul.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Paul.
Paul B. Sankey - Wolfe Research LLC: You talked about 2017 cash flow neutrality and an $8 billion hold for that number. Are you implying that you are actually going to outspend cash flow between now and then? Or are you essentially going as fast as you can to get to cash flow neutrality?
Ryan M. Lance - Chairman & Chief Executive Officer: I think it largely, Paul, depends on our outlook on the commodity prices, which we're watching pretty closely right now. But we would have some slight outspend in 2016 if we continue to ramp up and hold the capital at $11.5 billion, but that's something that we're looking at dropping down at the current price and continuing to exercise the flexibility. What people tend to forget about though, starting in 2016 and going into 2017, is we have pretty significant ramp in production from Surmont Phase 2 and from APLNG. And that's capital and cost that we spent the last four years to five years. We've got production coming on in 2016 and 2017 that people tend to forget about that is right in front of us. Surmont 2 just first steam earlier this year, we'll have first oil here imminently. And first cargo is coming out of APLNG. So the intention is to get to cash flow neutrality as quick as we can. And we're just trying to demonstrate that we've got a lot of flexibility, even at the current lower prices we're seeing today.
Paul B. Sankey - Wolfe Research LLC: Yeah, I understand. And I probably should have prefaced it by saying if we assume the strip, which I guess is something around what you're talking about here, is sort of a $60 outlook is what we see on the futures market?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, and that's why we've tried to put that into our slide at that kind of a price level just to give you some sense of how we would manage the business at that kind of a deck.
Paul B. Sankey - Wolfe Research LLC: And I think you've been asked this and you've tried to answer it. Forgive me if I just slightly missed what was being said. But can you just run over again the deflation element here, the lower service costs here? I know you've done some excellent work in your presentation showing how costs are changing. When I was with Mr. Hirshberg, he said that this is actually lagging, this is last year's data. Would you mind just going back over how we get from an $11.5 billion, $11 billion run rate this year all the way down as low as $8 billion, seemingly simply if oil stays at $60?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, Doug (sic) [Paul] (32:40). So in April we talked about deflation, the $700 million that we were trying to capture. We now see that probably closer to $900 million. And obviously if the kind the strip prices that you're talking about persist, we'd expect that to continue down as well. So as we look out at that, the $8 billion is really to stay flat. The $9 billion or the $10 billion or $11.5 billion grows our production based on the amounts that we laid out in April. So we've got a lot of flexibility between the $11.5 billion that we laid out to the marketplace in April versus this what we're calling $8 billion just to stay flat production. So what we're trying to describe to folks is, with the capital flexibility, the deflation and the efficiencies that we're creating in the business is just adding to the flexibility on the capital side of the program. It gives us a lot of choice as we go into the back half of this year in deciding what kind of program we want to execute in 2016 and 2017 on our pathway to get to cash flow neutrality as quickly as we can.
Paul B. Sankey - Wolfe Research LLC: That's great, Ryan. Thanks. And if I could just add in, we've had the idea that you would IPO the exploration business and have it as a standalone business. I assume you'd want to retain some access to that business as opposed to, for example, disposing of it all together but at the moment it feels like the potential for you to spin in (34:10) that business is going to be undervaluing it essentially.
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, I think that's right. We're looking at all the alternatives right now, Paul, about that business. And we'll have more to come on that as we progress later in the year and into next year.
Operator: Thank you. Our next question is from Ryan Todd of Deutsche Bank. Please go ahead.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. Maybe one more follow up on the cost issues. The incremental $300 million hit to OpEx that we saw on this, again, were you saying was that just incremental capital deflation? Is this more of an issue of pace? Or to be clear, are you trending towards much larger levels of cost reductions on a two-year basis than you had expected earlier?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Yeah, I can take that one, Ryan. Yes, we're definitely running ahead of schedule on where we thought we're going to be on reducing cost. And as we mentioned, it's a combination of deflation in the business, some minor amount of FX benefits, but it's really mostly related to us figuring out ways that we can drive costs out of our business. So we talked in terms of having this $1 billion cost reduction target. We're feeling really good about our ability to achieve that or go beyond that.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. And then maybe on, at APLNG, you talked about hopefully a cargo during the fourth quarter. Can you maybe talk about what are the remaining steps that you have to achieve there at APLNG between now and the fourth quarter to get that first cargo?
Matthew J. Fox - Executive Vice President-Exploration & Production: Yeah, so we're at the stage where we're beginning to load refrigerants. We have go – a process we've got, that's cold, turn the (36:10) mechanical runs, getting all the equipment (36:12) so the compressors are running and everything's running well. And that whole process of that sort of integrated completion and then hook-up, commissioning of the plant is all in hand and the gas is there on the upstream side to feed the plant. So we're feeling good about the ability to get the initial cargo sometime in the fourth quarter.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks a lot.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, Ryan.
Operator: Thank you. Our next question is from Blake Fernandez of Howard Weil. Please go ahead
Blake M. Fernandez - Howard Weil, Inc.: Folks, good morning. Thanks for taking the question. I'm sorry, I'm going to go back on cost structure as well. I'm just curious about maybe the sustainability of some of the cost deflation that you're witnessing. Obviously industry in general sees costs coming down, but I'm just curious what steps are being taken to ensure that these are more structural so that they don't simply re-inflate once the commodity finally does recover.
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, Blake, we're taking a pretty hard look top to bottom in terms of how we run the company and we're considering where we came from as an integrated company and the size, scale and capability we have as that company and looking at taking the opportunity now to a bit right-size relative to how an independent company like ConocoPhillips finds itself today. So there's things that we do in our company that were a remnant of the integrated company in terms of how much functional expertise to have in the center, how much oversight versus that accountability that goes out to the B (37:50). We've done a pretty good job of building that model on our lower 48 unconventional business. We're going to extend that across the whole company with less of a one-size-fits-all and more of a fit-for-purpose design, recognizing that an asset in the lower 48 is different than an asset in the North Sea or up in Alaska or offshore Australia. So really, our employees get it, they understand it, they understand where we're seeing. And we're already seeing the benefits of that shift. We've been working on that over the last two to three years as we've tried to build the culture of an independent company. Now certainly with the downturn it just puts more of a laser focus on the need to accelerate that, and to make it more prominent throughout the whole organization and the whole company, and then I think that will make it much more sustainable.
Blake M. Fernandez - Howard Weil, Inc.: Thanks, Ryan. The follow up is on the strategic shift toward shorter cycle type of projects. I guess when I think of Deepwater, definitely longer-term, highly capital-intensive, but they do tend to contribute fairly well to earnings. And when I look at the lower 48 contribution for earnings it seems to be one of the areas that's the weakest. As you kind of shift more toward these shorter cycle projects, do you anticipate that to have a negative impact on your actual earnings profile? Or is that a concern?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: I think you can – I'll take that one. When you look at lower 48 earnings, currently a driving factor there is really the level of depreciation that's being charged currently as we develop the unconventionals. And we're probably having depreciation charges which are a third larger than they'll be longer-term because of the reserve booking schedule and kind of the relative conservatism that's forced upon us as we book according to the rules that are out there. So as we go through time you're going to see depreciation rates come down in the lower 48 and that's going to have a significant improvement in the earnings from that segment. The other thing of course as you've heard us talk about, and you've heard the industry talk about, is just the cost levels that it's taking to develop reserves in the unconventionals have come down dramatically, and that will reflect itself in lower depreciation rates as well going forward over time. So yeah, where you do have fairly weak earnings coming out of our lower 48 segment over time you will see – currently, you will see those improve as we go forward.
Operator: Thank you. Our next question is from Ed Westlake of Credit Suisse. Please go ahead.
Edward Westlake - Credit Suisse: Yeah. Two very quick questions on the $60 breakeven again. Sorry, that would be what 2017 production, the same that you have laid out in the past or are you changing that production growth?
Ryan M. Lance - Chairman & Chief Executive Officer: No. It's the same, Ed.
Edward Westlake - Credit Suisse: Okay. Great.
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Yeah, as Ryan mentioned, a lot of the production growth is coming from things that we've already invested in.
Edward Westlake - Credit Suisse: Yeah. Okay. And then presumably even on that stay flat there would still be some positive cash margin shifts as you still back out some of the older gas production that's still in that mix as you get out to 2017 even on flat CapEx?
Ryan M. Lance - Chairman & Chief Executive Officer: No, absolutely. So when you look at the Canadian – the Surmont 2 addition and the APLNG that's coming on at a higher margin than a large part of our portfolio with the North American gas piece that you described, Ed.
Edward Westlake - Credit Suisse: And then...
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: We always talk about margins in terms of kind of flat price cash margins. One of the things we are seeing as we talked about it as well, is costs are coming out of the business as well which improve margins across the board.
Edward Westlake - Credit Suisse: So it's kind of dividend, plus a little bit? And then just on APLNG, I mean, obviously, everyone's observed that the Asia LNG market has suddenly faced a sort of dramatic drop in demand and there's obviously a lot of cargos coming on to compete for that gas demand. I mean, clearly first cargo is an important milestone and the CapEx will fall for the project, and therefore the cash contribution from the APLNG associates will improve which we'll see next year. But can you talk a little bit about how you are placing that product into the market for train one and train two given weak demand?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, right now we're working through that, Ed. And I know there has been a lot of speculation in the marketplace around the contract, and the SPA that we have with the buyers. We have two buyers, we have a Japanese buyer for train two. And train one is going to China to Sinopec. And we have an SPA, we have a contract with them. They've got diversionary rights within China and with our approval which we have provided, they've got diversionary rights outside of China as well. And we're working with them to understand the volume that they can take into the country in 2016 and as we go forward into 2017 and I'd just remind people that our contract is a take-or-pay contract and we expect they're going to live to the terms of that contract.
Operator: Thank you. Our next question is from Paul Cheng of Barclays. Please go ahead
Paul Y. Cheng - Barclays Capital, Inc.: Hey, guys.
Ryan M. Lance - Chairman & Chief Executive Officer: Good morning, Paul.
Paul Y. Cheng - Barclays Capital, Inc.: Maybe just several quick questions. The first one is probably for Jeff. Jeff, on the second quarter, what is your cost saving run rate and what do you expect those run rate are going to look like in the third and the fourth quarter?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: I'm not sure how to interpret your question, Paul. So when you say cost savings, I mean, are...?
Paul Y. Cheng - Barclays Capital, Inc.: Right. I mean that you have a program there to reduce costs, and I'm trying to understand how much of that cost savings is already reflected in your second quarter result and what is the incremental improvement we could expect in the remainder of the year into next year?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: So when we – I'll take you back to the analyst presentation. When we talked about 2014 cost levels of $9.7 billion and we were going to take that down to $8.7 billion, that was the $1 billion we were taking out, and we said we thought we'd get halfway there in 2015. So we gave cost guidance of $9.2 billion. So we're well along that path is what we're pointing out today and we actually revised that $9.2 billion down to $8.9 billion. So we're going to continue to see that as we go through the year, and you can see that we've had some pretty low cost levels in the first part of the year. The difficulty I have with your question is there is variability from quarter to quarter as we go through the year, but if you look at the whole year, we're running well ahead of where we thought we were going to be for the year.
Paul Y. Cheng - Barclays Capital, Inc.: Do you have a number that you can share? In the second quarter what is the cash operating cost?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Well as – well, you can look at our – at our...
Ellen R. DeSanctis - VP-Investor Relations & Communications: Paul, it's in the supplemental.
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: ...balance sheet, it was $2.1 billion essentially in what we call cash operating cost, which is production cost...
Ellen R. DeSanctis - VP-Investor Relations & Communications: Operating.
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: ...G&A cost and the G&A associated with exploration was $2.1 billion.
Paul Y. Cheng - Barclays Capital, Inc.: $2.1 billion, so annualized it is $8.4 billion, but you talk about...
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Right. That...
Paul Y. Cheng - Barclays Capital, Inc.: ...the full year is $8.9 billion?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Yeah, so again, that's why I point out that we have seasonality in our costs related to turnaround activities and we'll have some costs that'll increase as we go through the year and as production ramps up in some of the new projects.
Paul Y. Cheng - Barclays Capital, Inc.: And maybe the second question is for Ryan. Ryan, I presume that now you have reset this year the CapEx at $11 billion, so that the next several years the base case is $11 billion also. Under what commodity price – let's assume that if the commodity price stays where we are, what is the CapEx going to look like? Is it going to stick at the $11 billion end up that you're going to reduce it? I'm trying to understand that, what's the criteria you're going to go for? Are you trying to – because clearly you're not going to reach the cash flow neutral mark (46:05) this year, so what kind of criteria we should be looking at that would set your CapEx program?
Ryan M. Lance - Chairman & Chief Executive Officer: Well, as I said, Paul, we'll try to – we'll set a capital budget later in the year as we look at what the commodity price and what we can afford. When we laid out a plan at $11.5 billion, that assumed some slight modest recovery in prices. If we see prices aren't recovering and they remain at kind of today's level going forward into 2016, you shouldn't expect us to be spending the $11 billion, $11.5 billion, $11.5 billion we laid out in April or the $11 billion that we're talking about today. So no. We're going to manage the whole system to make sure we reach cash flow neutrality. We're doing the right things to grow the business and fund the maintenance capital but you should expect it to become lower. And we'll provide more clarity around that as we go through the course of the year and we watch where commodity prices end up.
Operator: Thank you. Our next question is from Roger Read of Wells Fargo. Please go ahead.
Roger D. Read - Wells Fargo Securities LLC: Thank you. Good morning.
Ryan M. Lance - Chairman & Chief Executive Officer: Good morning, Roger.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Good morning, Roger.
Roger D. Read - Wells Fargo Securities LLC: I guess maybe to get back to some of the internal cost cutting and the commentary about structuring the company more like an E&P as opposed to a large integrated, and then given where you are on the operating cost savings, what more should we expect to see from a streamlining or the head count reductions, that sort of structure?
Ryan M. Lance - Chairman & Chief Executive Officer: Well, as Jeff said, we're well on our way to the $1 billion cost challenge. We think we're certainly going to hit that, probably exceed that. The exploration decision that we made and announced earlier, as I said, that's going to be incremental both on a capital and an operating cost side. Will have some impact on the organization as we think about that going forward, so we think there's running room beyond where we're at, but it's something that we're spending a lot of time looking at. And with respect to re-looking at how we run the company, that's going to deliver sustainable reductions for the longer term. So it's not just about taking $1 billion or more out of the cost system in the short (48:35) deflation, it is about making that a sustainable cut over time, and that's where our focus is at right now.
Roger D. Read - Wells Fargo Securities LLC: Okay. Great. Thanks. And then for Jeff, looking at the cash flow statement or the cash flow waterfall, working capital was a negative to this point. As you think about latter part of this year or 2016, is there a – an opportunity to pull out of working capital as well as cash flow from the business, as well as potentially more debt? What are some of the things we should think about maybe as some of these large projects start to come online, as to whether they consume or free up capital, in addition to the CapEx changes?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: I think from a working capital perspective, what we've seen in the first half of the year is really just the effect of a couple of things is, accounts payable coming down because of the lower activities on the capital side. This is really the – as we've moved our capital program down from the $16 billion, $17 billion kind of level last year to this $11 billion this year, you've got this lag effect on working capital. Now that we're kind of down at the level that we're going to be at on capital, we wouldn't expect that effect to continue in subsequent quarters. And then as prices come down, you've seen changes in, kind of, our taxes payable as well come off and be a use of cash from a working capital perspective. That's pretty well out of the system now also. So we wouldn't anticipate that being a significant change in use of cash going forward for us. As I mentioned on the call, we still have really solid access to the capital markets to the extent that we – that it's necessary to go beyond our cash balances to fund our capital and our dividend in the period before 2016 when we get to cash flow neutrality. We certainly have the ability to do that in a very effective way.
Operator: Thank you. Our next question is from Evan Calio of Morgan Stanley. Please go ahead.
Evan Calio - Morgan Stanley & Co. LLC: Hey. Good afternoon, guys.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Hey, Evan.
Ryan M. Lance - Chairman & Chief Executive Officer: Evan.
Evan Calio - Morgan Stanley & Co. LLC: Yeah, maybe my question's related to the U.S. earnings power comment and offshore exploration reduction. Maybe for Matt, I mean, I know you look at resource upstream globally and the savings and efficiencies onshore, U.S. unconventional have been most notable to date. I mean, do you see the scope for international to significantly move down the cost curve to compete for greenfield capital? Or in this strip environment, do you see the U.S. and your U.S. unconventional position as economically superior and effectively taking market share?
Matthew J. Fox - Executive Vice President-Exploration & Production: So does that mean – I'm thinking from a deflation perspective, more than half of the deflation that we've seen has been in North America so far. And historically, the international business has been slower to respond from an unconventional – from a deflation perspective, so we still expect to see more of that come in over the next months and into 2016 on the international side. And as we see this emerge, then we can understand what implications it has for capital costs, and then that has implications for the viability of projects across the portfolio as a whole, so that they – what we're seeing emerge from a deflation perspective, will influence how we think about capital allocation in the years ahead.
Evan Calio - Morgan Stanley & Co. LLC: Right, and efficiencies here as well. I mean, at current strip pricing, what's the break-even period on one of your $8 million to $9 million Eagle Ford wells? Is that – are we a little over a year? What's...
Matthew J. Fox - Executive Vice President-Exploration & Production: I think we're still in the 12-month to 18-month sort of level to get – for break-even on an individual well.
Evan Calio - Morgan Stanley & Co. LLC: That's pretty powerful. If I could slip in just one other – if, just a question on the – if you can discuss it, the changes to working capital associated with investing activities in the quarter. That was sequentially higher. What drove that reclassification, the working capital change from investing activity?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Yeah, I think you're noticing that on the cash flow statement this time we broke working capital out from related to operating activities and investing activities. We did that to provide more clarity on what was really driving the changes in working capital. And, again, as I mentioned a couple times now, the real driver has been just the slowdown in the capital investing activities.
Operator: Thank you. Our next question is from Alastair Syme of Citi. Please go ahead.
Alastair R. Syme - Citigroup Global Markets Ltd.: Hi, everyone. Jeff, I think you noted a few times about the bond offerings in the quarter. But I think I'm right in saying that you saw a negative credit watch. So I kind of was wondering where those discussions sit in the current environment with the various rating agencies and how vociferously you would feel you'd need to defend a single A rating?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: So where we're currently rated is A1 with Moody's, which is the highest single A. And we're at a middle single A with Standard & Poor's and Fitch. And all of them, as you mentioned, have us on a negative outlook. All three of the agencies confirmed our rating in conjunction with the $2.5 billion bond offering that we did in the second quarter. So I think the position that they're in is they're waiting to see how commodity prices play out and what levels of incremental borrowing we might do before we get to cash flow neutrality in 2017. But as we said before, as we look at different scenarios of what borrowings we might do and before we get to neutrality in 2017, we're still very comfortable that level of borrowing is not going to take us out of the single A range. It could knock us down a notch within that range, but it wouldn't take us out of that range.
Alastair R. Syme - Citigroup Global Markets Ltd.: And defending single A would be paramount, would it?
Jeff W. Sheets - Chief Financial Officer & Executive Vice President: Well, we think that's the right place for a company like ours to be. It just fits strategically with the direction we're heading as a company to be one that has a priority on shareholder distributions, like we've talked about with the dividend, that is pursuing modest growth and wants to have the capability to do that through all kinds of different commodity price cycles. So we do feel like that's the appropriate credit space for us to be in.
Alastair R. Syme - Citigroup Global Markets Ltd.: Okay. Thank you very much.
Operator: Thank you. Our next question is from John Herrlin of Société Générale. Please go ahead.
John P. Herrlin - SG Americas Securities LLC: Yeah, hi. Thank you. With the Cook Inlet sale, does that include the Kenai plant?
Matthew J. Fox - Executive Vice President-Exploration & Production: No, it doesn't.
John P. Herrlin - SG Americas Securities LLC: Okay. Thanks, Matt. Next one. You talked a lot obviously about efficiencies and cost savings and optimizations and deflation, all that. You're a big company, as Ryan talked about earlier. You have the ability technically to run your fields differently than, say, smaller companies. So how much of your overall performance is related to that type of self-help from, say, field automatization so you can minimize unplanned downtime and enhance recoveries?
Matthew J. Fox - Executive Vice President-Exploration & Production: So, it's just part of our cost reduction process. We are looking at our operating costs, our lifting costs across the company as a whole. And we've for years have had a very strong operations excellence program that we've applied across the organization. Frankly, for the past few years, we've been focusing that on increasing production. That's what you do when oil prices are $100 a barrel. But the same, the tools exist within that capability to focus that more on cost reduction. So we are refocusing our operations excellence on making sure that we're getting the right balance of the right operating efficiency and the right costs in this price environment. So having that capability and that sort of integrated view across the whole organization is really good.
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, and I would add, John, to that that as we talk about the independents, some of the capability we have as a company, our functional excellence around integrated operation centers and the ops excellence plans that Matt talked about, the reservoir understanding and characterization, the EUR, the stimulated rock volume work that we're doing, we're going to maintain that and expand that capability because we think it's differential in leveraging in the independent world.
John P. Herrlin - SG Americas Securities LLC: Thank you.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, John.
Operator: Thank you. Our next question is from Jason Gammel of Jefferies. Please go ahead.
Jason D. Gammel - Jefferies International Ltd.: Thanks very much. I had another question on long-cycle time versus short-cycle time investments and you're clearly at a point where you're hitting an inflection point and capital is dropping away and production ramp is coming in. But I suppose long-cycle time by definition means that if you're not investing today, then you don't have those big step changes in production in, let's say, the 2019, 2020 timeframe. So my question is two-fold. First of all, do you expect to move towards FID on any major capital projects this year and next year, just given the capital-constrained environment? And then the second part of the question is, over the cycle, how much CapEx above the $8 billion of maintenance CapEx would you want to be putting into these longer-cycle time projects relative to your short-cycle time investment opportunities?
Matthew J. Fox - Executive Vice President-Exploration & Production: On the FID question, we will be making final investment decisions on a few relatively small projects as we go through this year and into next year. We're in a fortunate position that most of our major projects that are in the portfolio now are not mega projects and they're projects that we've executed before, like adding drill sites in Alaska or adding platforms in the North Sea or in China, so that they're all relatively small-scale things. So we do have the scope within the capital program to continue to invest in those longer-cycle but smaller-scale projects. And we will do that. One of the strategic questions which I think is what you're getting at, Jason, is for the long term what is the right balance for a company like us between the more flexible short-cycle investment opportunities, of which we have a lot within our development programs in particular in unconventional business, and then these longer-cycle projects of the characteristics I just spoke about. And that, we have flexibility to, we have to decide exactly what that ratio should be and that's one of the lenses that we look at our strategy through.
Jason D. Gammel - Jefferies International Ltd.: Okay. Thanks, Matt. Appreciate the thoughts.
Operator: Thank you. Our next question is from Neil Mehta of Goldman Sachs. Please go ahead.
Neil S. Mehta - Goldman Sachs & Co.: Good afternoon.
Ryan M. Lance - Chairman & Chief Executive Officer: Hi, Neil.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Hey, Neil.
Neil S. Mehta - Goldman Sachs & Co.: I appreciate that incremental disclosure on cash flow neutrality in 2017. Definitely been top of mind for investors. Two more industry-focused questions. I guess the first one, Ryan, Speaker Boehner yesterday came out in favor of crude exports. Senate, I think as we speak, is at least discussing it. Flipside is, we're going into an election year, just want to get your thoughts on the latest temperature on this issue as you've really been leading the charge on behalf of the industry?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, thanks, Neil. No, it was – we're glad to see. We've been working with the Speaker's office to get them to support the repeal of the ban and get it up for a vote later this year, and I think we made some significant progress, both in the House and the Senate. And of course the Speaker's comments yesterday were well received by the industry and everybody. I still would – it's still going to be a little bit of a tough uphill climb. There's – we're getting bipartisan support, both in the House and the Senate. We could use a little bit more of the democratic support for it, so we're working on that. But what chances do I give it of passing this year? We – I haven't climbed to 50%, but it's encouraging to see that we may get a vote, at least an up/down vote in at least one of the chambers to go forward. I think the question everybody's asking is, is there enough bipartisan support to clear both houses, and then to clear the administration, and that's what we're spending most of our time on right now.
Neil S. Mehta - Goldman Sachs & Co.: Thanks, Ryan. And then the second question is views on industry consolidation. This is less a Conoco-specific point, but more an industry point. If you expect an acceleration in activity with the double dip in the commodity and the capital markets tightening, less so as you guys pointed out for yourselves, but for companies less attractively positioned from a capital structure than you, your thoughts on M&A going forward for the industry?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, if we saw some modest increasing in the commodity prices, maybe that we would have envisioned a little bit more earlier in the year, I'd have told you that I think the stocks are pretty fully valued and I am expecting prices to come back to that $70, mid-$70, $80 kind of level. Certainly with this re-correction over the last few months, it's putting a spotlight on some of the companies, as you say, that may not have the financial capacity that ConocoPhillips does. So if these lower prices persist for a longer period of time, that's certainly an area that probably would start to ramp up. I still don't personally believe the floodgates are opening on that, but I think it's something that industry will be watching pretty closely if these kinds of prices persist for a longer period of time.
Neil S. Mehta - Goldman Sachs & Co.: Thank you, Ryan.
Operator: Thank you. And our last question is from James Sullivan of Alembic Global Advisors. Please go ahead.
James Sullivan - Alembic Global Advisors LLC: Hey, guys. Thanks for fitting me in. Just wanted to be very crystal-clear on one point. Obviously you guys had highlighted a 2014 to 2016 operating cost to go back to that issue – reduction of $1 billion of which you'd said about 70% was supposed to be, roughly 70% was supposed to be structural savings. Am I right in thinking that that was really before you guys had envisioned a strategic review of the kind that has been talked about a couple times regarding streamlining some of your, let's call, the major-like execution capacities? Which would – is it right to think of those as incremental, potential incremental structural cost savings outside of that original first $1 billion?
Ryan M. Lance - Chairman & Chief Executive Officer: Well, no, James. When we laid out the $1 billion we kind of had a vision that we were going to go through this process and make some structural changes to the company. So I would say that some, not all, but many of those structural changes are built into the $1 billion trajectory that we're on. As Jeff described, I think we're ahead of plan and our expectation is that we'll generate more savings beyond the $1 billion. And then the exploration decision that we made not to pursue, continue pursuing some of the deepwater, that is incremental to the $1 billion decision, and we're working through what the implications of that given that we have some portfolio and discovered portfolio that we're going to continue to invest in or monetize in other ways.
James Sullivan - Alembic Global Advisors LLC: Okay. That makes sense. So down-shifting in that way would be the incremental piece. Okay. Just a separate thing kind of following up on the quarterly discussion regarding long, short cycle. But – and correct me if there has been a change in this – but looking at AKLNG. As I understood it, there was a potential for that to proceed to pre-FEED in 2016 or at least graduate to the next step in the development process, which would probably require a material capital contribution from stakeholders. Maybe that's getting pushed to the right, but could you describe your thinking on that project? Your participation in it? And how it fits into your portfolio given that obviously we're trying to skew toward shorter cycle projects at the moment?
Ryan M. Lance - Chairman & Chief Executive Officer: Yeah, I think we are making some progress on that with the partners in alliance with the state. There's still a lot of work to do to get an aligned view around the fiscals and state's participation, and what that's going to look like. So there's a lot of work to go do even before we take that next step that you described into pre-FEED. I think the companies are looking at the kind of end of this year, into 2016 to make that decision. But a lot of that is dependent on kind of how we see the alignment working with the State of Alaska and their participation in the project. It's a very, very long project. No resource risk for us. So it kind of goes back to Matt's comment as how much of this long, longer cycle time, but very flat production with very low resource risk do you want in the portfolio. And we're going through those thoughts and analysis right now. It doesn't mean that there's zero of that in the portfolio. I think a healthy portfolio has some of that. We've got some LNG properties, we've got our Qatar property, we've got APLNG coming online. We have a large resource potential in the oil sands, we're trying to figure out how to break those projects into shorter cycle time projects. But still are long dated resources barrels that are attractive and should be a part of the portfolio. So that's going to be the challenge for us as we think about AKLNG going forward.
James Sullivan - Alembic Global Advisors LLC: Okay. Great. All right. That's all I had. Thanks, guys.
Ryan M. Lance - Chairman & Chief Executive Officer: Thanks, James.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, James.
Operator: Thank you. I will now turn the call back over to Ellen DeSanctis, VP-Investor Relations and Communications, ConocoPhillips.
Ellen R. DeSanctis - VP-Investor Relations & Communications: Thanks, Christine, and thanks to all our participants. Obviously feel free to call us back for any follow-up questions. We really appreciate your time and interest. Thank you.
Operator: Thank you. And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.